Operator: Excuse me, everyone. We now have Sean Reilly and Keith Istre in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals and plans, including with respect to the level of potential acquisition activity, and the amount and timing of any distributions to stockholders. All forward-looking statements involve risks, uncertainties, and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Forward-looking statements give Lamar's current expectations and projections relating to its financial condition, results of operations, strategic plans, objectives and future performance. As such, they are subject to material risks and uncertainties, including economic conditions and their effect on the markets in which Lamar operates and the broader demand for: advertising; levels of expenditures on advertising, in general, and outdoor advertising, in particular; and risks and uncertainties relating to Lamar's significant indebtedness. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call and the company's most recent Annual Report on Form 10-K. Lamar refers you to those documents. Lamar's first quarter 2015 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a Form 8-K this morning and is available on Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly - Chief Executive Officer: Thank you, Tiffany, and good morning and welcome, all, to Lamar's 2015 Q1 earnings call. I'm pleased to report a great quarter. We seem to be hitting on all cylinders. In fact, we haven't seen this kind of top-line growth since the Great Recession, so that's nice to see. Let me highlight three data points from the release before I turn it over to Keith. Number one, local sales are exceptionally strong, up 6.7%. And if you look behind the strength in our bulletin sales, it was almost all driven by rate. And that is great to see. We haven't been able to say that, again, since the Great Recession. And that is a good thing and, hopefully, continues. That all translates into an exceptional 32% increase in AFFO per share. That, of course, is the key metric by which REITs are measured. And I think that, again, is exceptional performance. Keith?
Keith Istre - Chief Financial Officer & Treasurer: Okay. Good morning, everybody. First, let me just say that as far as the press release itself, all the revenue numbers in there are daily, including the pro forma results. So there are no more hybrid daily, monthly mix of numbers in there, nor will there be going forward. As you saw on a reported basis, revenue was up 6.2%. EBITDA was up 13.6%. On a pro forma basis, revenue was up 5.2%, of which almost all of that increase came from the Billboard segment, which generates approximately 90% of our annual revenues. Pro forma consolidated expenses was up 1%. The resulting pro forma EBITDA increased 12.3%. As these numbers illustrate, mid-single-digit growth in revenue and low-single-digit growth in expenses produce significant increases in EBITDA. As a footnote for the past five years, 2010 through 2014, our pro forma consolidated expense growth averaged 2% per year during that period. A couple of other items to note for Q1: EBITDA margin was 39.2% versus 36.6% last year in the first quarter, a pick-up of almost three points. Sean mentioned AFFO per share. On an actual basis, the actual AFFO increased by $20 million, or 34%. Cash interest expense declined by $5.5 million. That was due to some opportunistically financing that we completed in 2014. And last, for 2015, we project our D&A for the full year to be approximately $200 million. So, Sean, with that, back to you.
Sean Reilly - Chief Executive Officer: Great. Let me highlight a few other statistics for you. I mentioned local sales at 6.7% up. National in the first quarter was up 2.5%. The turn of national business seems to be improving slightly. And we think it'll turn in a slightly better performance in the second on the national side. While we turned in 5%s and 6%s on the top in Q1, it's going to be difficult to repeat that performance in Q2. We're seeing things that are more sort of in the 3% to 4%-ish top-line growth. So, turn of business for Q2 is fine. We, hopefully, will turn in a nice print, but it's not quite as robust as what we saw in Q1. That probably has something to do with the comps. A few other stats: on the digital side, we were very busy in Q1. We added 58 digital units in Q1. Please don't multiply that number by four. We're planning on being aggressive, but not quite that aggressive throughout the course of the year. You can model something in the neighborhood of 175 to 200 new digital units for 2015. Let me highlight a couple of categories of business. Some are just stacked, but others are a little more meaningful. On the service side, we did exceptionally well. Our service revenues were up 17% for that category of business Q-over-Q. Hospital and healthcare was up 8%. Automotive was up 4%. So big categories doing well, but I really want to talk about two other ones. As you know, really since 9/11 and through the Great Recession, we've been struggling with the hotel-motel category. It appears to have stabilized and gotten back into our top 10 categories, which we haven't seen that in some time. At 3% of our book of business, it is now number 10. That is good to see. And finally, the real estate is knocking on the door of our top 10 categories, which it hadn't been in since the Great Recession. Real estate in Q1 was up 15%. So seeing relative strength in those two categories, which, again, portends well for the future. Before I turn it over to questions, I do want to mention one other initiative we have going. You hear a lot about automated billing, in both the Out-of-Home industry and other ad supported platform. We went live with our automated billing platform last weekend. We had a test customer go up and run it through its paces. By all accounts, it performed well. Now, this was a test case automated buying customer. We hope in the next couple of weeks to go live with paying customers. And we will see how that goes. For the industry, this is very important, because the ad budget pie is separate from the digital budget pie. And things that go through this automated buying process come out of digital budget. For us to get a piece of that going forward is an important thing, so more to come on that. We will probably do some sort of release on those results in coming weeks. With that, Tiffany, I'll open it up for questions.
Operator: Thank you. At this time, we will open the floor for questions. Our first question will come from Stephan Bisson with Wells Fargo.
Stephan E. Bisson - Wells Fargo Securities LLC: Hey, guys. The flow-through from the great Q1 results might take AFFO above the Street, above the guidance. Is there any reason we should take the subsequent (9:20) quarters down?
Sean Reilly - Chief Executive Officer: We were tempted to raise guidance for you guys. What we're waiting for is a little more clarity on Q4. We've got some difficult comps. And it wouldn't surprise me if we didn't raise the next time we visit, but, again, we wanted to be cautious and get a little more visibility into Q4.
Stephan E. Bisson - Wells Fargo Securities LLC: Great. And then, there was no mention on the digital trends for revenue. How's the yield on those boards?
Sean Reilly - Chief Executive Officer: They're doing fine. If you look at the whole platform, it's up double digits. That same-board was relatively flattish, so obviously most of the increase was those new additions that we put up.
Stephan E. Bisson - Wells Fargo Securities LLC: Great. Thanks so much.
Operator: Thank you. Our next question will come from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you. On the better pricing that you've been seeing, I guess, when was the last time you saw sort of rates coming up to these levels? And then, just sort of a bigger picture question, when you see the kind of increased demand that allows you to raise these rates, I guess, how is your thought process in terms of deciding whether to go for better rates on the static boards versus maybe think about additional conversation to digital?
Sean Reilly - Chief Executive Officer: So it's been quite some time since we've been able to drive rate. I think we've been answering this question every quarter since 2010. So most of the growth that comes out of a recession in our platform initially comes from increases in occupancy. That's traditionally coming in and out of recessions for the last four that we've managed through, that has been the case. Now, with this recession, everything happened a little slower. And so getting to normalized occupancy took longer. It took four years. And now that we're at normalized occupancy, with a little bit of a tailwind behind us on the macro economy, we're able to see and drive rate. There's not really a trade-off between driving rate and digital conversions. As a general rule, we are converting our best and most profitable units from analog to digital, because that's where you see the best lift. So it's really a function of really the attractiveness of an individual unit to a digital conversion, more so than a trade-off between analog rate and the conversion, if that makes sense.
Alexia S. Quadrani - JPMorgan Securities LLC: Yeah. Thanks very much.
Operator: Thank you. Our next question will come from Tracy Young with Evercore.
Tracy Beth Young - Evercore Group LLC: Hi. Just following up on that, you used to also give occupancy and rate on bulletins and posters, maybe that would be helpful also for us to get a sense of the increase in price. And also how has the telecom sector or category been doing this quarter? Thanks.
Sean Reilly - Chief Executive Officer: Yes. Tracy, you remember that we converted from monthly to daily billing last year. And that created two issues for us. Number one, our historical rate and occupancy statics developed a lot of noise and really became not too relevant. And number two, calculating occupancy on a daily basis also becomes a little bit problematic. We're working on trying to figure out a way to give you very meaningful and relevant statistics. Right now, we're trying to highlight same-board growth. So, if you look at what we highlighted in the release, pro forma analog bulletin revenue, that's just sort of a same-board growth without breaking it out for rate and occupancy gains. We can tell you, though, that the vast majority of that was rate. I can't give you a hard number, but I can tell you the vast majority of that was rate. What was the other question?
Tracy Beth Young - Evercore Group LLC: The question was just on the telecom category. I know it was weak last year, and is that one turned around as well?
Sean Reilly - Chief Executive Officer: It hasn't really turned around, but the good news is we've lapped the comp. So, whereas in previous quarters, you would see double-digit decline in that category, because we've lapped the comp and are flat. (14:08)
Tracy Beth Young - Evercore Group LLC: Okay. Thank you.
Operator: Thank you. Our next question will come from Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Yes. Thank you very much for taking my question. So, just curious what changed all of a sudden? You've been in this tight range with rate and occupancy for several years now. And then, first quarter, you got pricing power for the first time in quite some time. Just wondered if there was any sort of inflection point that you saw that enabled this to happen. And then, secondly, maybe you could talk about automated billing a little bit more and tell us what are some of the cost and revenue implications of this.
Sean Reilly - Chief Executive Officer: Yeah, thanks. I think it's really the relative strength of Main Street, U.S.A. It's easier for us to drive rate when we are talking to one of our 45,000 local customers and generate demand amongst that universe of buyers than it is for us to drive rate with national buyers, because they're buying in bulk. So, if I had to point to one thing, it seems to be relative strength of local economies and Main Street, as opposed to Madison Avenue. I misspoke. I called it automated billing. What I mean to say was automated buying. It's a buying platform that allows customers that are used to buying digital through an automatic – automated or programmatic mechanism that uses an algorithm to place their buys, based on the demos and CPMs they're trying to reach. So, what are the ramifications? It's a digital-only product. So, hopefully, it helps us sell available digital inventory. It is a different, as I mentioned, pool of money. Agencies and customers increasingly have a digital pot of money that they're spending and an ad budget that they're spending. And the ad budget is actually slowly contracting over time. The digital budgets are getting bigger. So, as an industry, again, it's very important for outdoor, because we have a dynamic digital platform that reaches a lot of eyeballs to participate in that shift from traditional ad budgets to digital budget. Right now, this is a science project. It will, hopefully, be embraced. I think what's of note is that we are live. And we have run a real live, although test, customer through the paces, and everything worked.
Eric O. Handler - MKM Partners LLC: Thank you.
Sean Reilly - Chief Executive Officer: Yeah.
Operator: Thank you. Our next question will come from Bill Bird with FBR.
Bill G. Bird - FBR Capital Markets & Co.: Good morning. For Q2, what kind of trends are you seeing in your shorter cycle products, like posters? And then on digital, how best to interpret the trialing forward on new digital boards? Is that, in effect, signaling your view of it, the strength you're seeing in the business?
Sean Reilly - Chief Executive Officer: We are a bottom-up, not top-down, organization. Our local general managers are complete business people. They make calls on managing their local inventory, yield management, and, importantly, the deployment of digital within their market. So, when you see us accelerate, that's a sign of local confidence that our local managers are saying, look, I'm seeing sufficient demand to increase my digital capacity. On the issue of what we're seeing in Q2, my comments on 3%s and 4%s on the top-line, as opposed to the 5%s and 6%s we were seeing in the first, was really meant to modulate enthusiasm just a bit, because I don't think we can repeat what we did in the first on the top. The bottom-line looks super. So, hopefully, we don't have any expense surprises. And I think we should be perfectly fine there, but it's a little early in the day to slice-and-dice the top by product.
Bill G. Bird - FBR Capital Markets & Co.: Thank you.
Sean Reilly - Chief Executive Officer: Uh huh.
Operator: Thank you. Our next question will come from David Miller with Topeka Capital Markets.
David W. Miller - Topeka Capital Markets: Yeah, Sean, just an overall sort of high-level sort of topical question, as you're looking out at sort of your categorical breakdown and looking out at the categories that are your top 10 categories, are there any emerging categories that you see coming down the pike that maybe traditionally have not used outdoor in the past? The one that comes to mind I remember is healthcare and hospitals. Out here in Los Angeles, I remember like six or seven years ago, you would never see a hospital advertising on a billboard. Now, you see it all the time.
Sean Reilly - Chief Executive Officer: Yes.
David W. Miller - Topeka Capital Markets: And it sounds like that's a top 10 category for you. So looking out ahead, are there any other categories like that that you see kind of emerging that may become top 10 categories one day? Thanks a lot.
Sean Reilly - Chief Executive Officer: Sure, great question. Yeah, on hospitals, that was a pleasant Q1. Hospitals actually are number three for us now. They're 10% of our book. And we're up 8% in the Q, so that's nice to see. The emerging categories that are going to be, I think, helpful and, again, this is not Lamar specific, but industry initiatives that Jeremy Male talks about on measurement on buying platforms, I think are going to inure to our benefit. And that will help us get, again, pieces of that digital spend. Now if we were going to get categories we don't get, the largest and most important would be packaged goods. So if we can get into the head of P&G and get a piece of what they're doing on other screens, that would be very powerful. And, again, to do that, we need the kind of buying platforms that I referenced went live for us last week and that Jeremy and OUTFRONT are developing. The other big category, I think, and these are people that appreciate outdoor, they love the big splash, but if you look what Apple and Google are beginning to do in their branding, they're beginning to look at large format Out-of-Home again. I should say again, because Apple has always used it, but I think to a greater degree.
David W. Miller - Topeka Capital Markets: Thank you very much.
Operator: Thank you. Our last question will come from James Dix with Wedbush.
James G. Dix - Wedbush Securities, Inc.: Hey. Good morning, guys, just wondering if you're seeing any interesting trends in terms of growth by region. I know there has been talk about what could be happening in the oil patch economies? And then also, I'd be curious in terms of markets where you've seen strong real estate advertising in the past, which took a hit. You're talking about the category coming back. Wondering if that's correlating to (22:04) any particular regions, which are showing outlier growth? Thanks.
Sean Reilly - Chief Executive Officer: Yeah. Good question and you're right. So, the best performing regions were coastal, so extremely good performances turned in on the West Coast and Eastern Seaboard. Some of that was driven by real estate recovery, absolutely. The oil patch question is interesting. I was out in Midland-Odessa a couple of weeks ago and there seems to be more confidence than you think out there. And our West Texas markets are still pacing up in the sort of low single digits. We're struggling a little bit in some of our South Louisiana markets, where rig counts are just vital to businesses, like the offshore servicing businesses. So, we're seeing a little bit of erosion in places like Houma, Louisiana and Lafayette, Louisiana, but, overall, it's not the end of the world in those places. They're doing okay. And relative to our overall platform, it's not material.
James G. Dix - Wedbush Securities, Inc.: Great. Thanks very much.
Sean Reilly - Chief Executive Officer: Yeah.
Operator: Thank you. So it looks like we have no further questions at this time.
Sean Reilly - Chief Executive Officer: Well, great, everybody, appreciate your interest in Lamar, and look forward to visiting in August.
Operator: Thank you. This concludes today's presentation. You may disconnect at this time.